Operator: Good day, and welcome to the Allient Inc. Fourth Quarter Fiscal Year 2024 Financial Results Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Craig Mychajluk, Investor Relations.
Craig Mychajluk: Thank you, and good morning, everyone. We certainly appreciate your time today as well as your interest in Allient Inc. Joining me on the call are Richard Warzala, our Chairman, President, and CEO, and James Michaud, our Chief Financial Officer. Richard and James are going to review our fourth quarter and full year 2024 results and provide an update on the company's strategic progress and outlook, after which we'll open up the line for Q&A. You should have a copy of the financial results that were released yesterday after the market closed. If not, you can find it on our website at allient.com along with the slides that accompany today's discussion. If you're reviewing those slides, please turn to slide two for the Safe Harbor statement. As you are aware, we may make forward-looking statements on this call during the formal discussion as well as during the Q&A. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated on today's call. These risks and uncertainties and other factors are discussed in the earnings release as well as with other documents filed by the company with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. I want to point out as well that during today's call, we will discuss some non-GAAP measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to comparable GAAP measures in the tables accompanying the earnings release as well as the slides. With that, please turn to slide three and I'll turn it over to Richard to begin.
Richard Warzala: Thank you, Craig. And welcome, everyone. As we conclude 2024, I want to acknowledge our team's resilience and commitment to execution in what has been a dynamic and at times challenging market environment. Despite headwinds in key industrial and vehicle markets, we continue to execute with discipline, driving operational efficiencies and positioning Allient Inc. for sustained long-term growth. In the fourth quarter, we delivered $122 million in revenue with a sequentially improved gross margin of 31.5% even as volume remains soft. Importantly, orders increased 15% sequentially resulting in a book-to-bill ratio of nearly one, largely driven by strengthening demand in power quality and defense. For the full year, revenue totaled $530 million, reflecting the anticipated demand softness largely due to inventory rebalancing and customer utilization of excess inventory in the channel. However, we remain focused on financial discipline, generating nearly $42 million in operating cash flow and ending the year with $36 million in cash. Total debt reached approximately $240 million at the end of the first quarter of 2024 following our acquisition of SNC. Since then, we have been committed to reducing debt, lowering our total by $16 million over the year. On a net debt basis, given our stronger cash position, we are essentially back to where we were at the end of 2023 despite adding SNC. SNC has progressed as expected. It is a well-established company and their offerings have complemented our current power quality capabilities. This was our first tuck-in acquisition in support of our power technology pillar, and we are excited about the synergies developing as a result. A driver of our margin improvement has been our Simplify to Accelerate Now initiatives as highlighted on slide four. This program has been instrumental in refining our organizational structure, reducing redundancies, and optimizing production processes. In 2024, it delivered $10 million in annualized savings, improving our cost structure and overall agility. By simplifying operations, we are enhancing our responsiveness, leading to faster time to market, improved customer service, and stronger competitive positioning across key industries. Our goal is to drive an additional $6 million to $7 million in annual savings in 2025. Building on this momentum, in early February, we announced the expansion of machining capabilities at our Dothan, Alabama facility, an initiative that is expected to support our goal. While there will be some one-time implementation costs, the investment is expected to pay for itself within a year. We anticipate realizing the initial benefits by late 2025, further strengthening our operational efficiency and cost structure. James will provide additional details on the associated restructuring charges. Leveraging advanced machining techniques, our Dothan facility will focus on producing complex fabricated parts that are strategically aligned with the needs of our key markets and customers. Additionally, we will transition current assembly operations from Dothan, consolidating these capabilities into our facilities in Tulsa, Oklahoma, and Reno, New Mexico, where final assembly, integration, and testing are core competencies. This realignment will sharpen our business focus and optimize our global footprint, enabling us to deliver high-precision system solutions for demanding applications across diverse sectors, including aerospace and defense, medical, and electronic test of the semi-equip. While the transitions involve complexities and require focused execution, we are confident in the long-term efficiencies they will create. Looking ahead, we are actively identifying new opportunities to drive efficiency, innovation, and growth, ensuring we remain aligned with evolving market conditions and customer demands. By continuously optimizing our operations and making strategic investments, we are strengthening Allient Inc.'s financial performance, enhancing operational flexibility, and unlocking greater earnings potential. This forward-thinking approach is critical to maintaining our competitive edge and delivering sustained value to our stakeholders. With that, let me turn it over to James for a more in-depth review of the financials.
James Michaud: Thank you, Richard. And good morning, everyone. In the fourth quarter, we reported revenue of $122 million, a decrease from the same period last year, aligning with our expectations. The impact of foreign currency exchange rate fluctuations was nominally unfavorable by $300,000. Our geographic sales mix shifted, with US customers accounting for 54% of total sales, down from 59% in the fourth quarter of the previous year. The percentages were similar to full-year sales mix as well. This change reflects demand challenges, including lower industrial automation and softness within our vehicle markets. Breaking down our results further, let's take a closer look at how each of our key market sectors performed during the fourth quarter. Aerospace and defense sales were a bright spot, increasing 20% due to the timing of certain defense and space programs. We are actively pursuing several promising opportunities in the defense sector, which we anticipate will contribute to growth in the future. Medical market revenue also increased, up 5%, driven by solid demand for surgical instruments and respiratory and breathing equipment. The sales in vehicle markets continued to face headwinds, decreasing 46%. This decline was primarily driven by reduced demand for powersports, as the market has struggled to rebound following the surge in demand driven by the pandemic. Additionally, our strategic decision to focus more on margin-enhancing applications contributed to the overall decrease. Industrial market sales declined 11% despite a strong performance in power quality sales, particularly to the HVAC and data center markets. We also saw incremental sales from the SNC acquisition. However, these gains were more than offset by reduced demand in industrial automation, primarily due to significant inventory destocking by our largest customer. Slide six illustrates the shift in our revenue mix across markets over the full-year period, highlighting the key catalysts driving these changes. The industrial sector remained our largest market, contributing 47% of the trailing twelve-month sales. This market was primarily driven by strong demand in power quality, as well as growth in vehicle handling and semiconductor equipment. While industrial automation initially benefited from supply chain improvements earlier in the year, sales in this sector slowed significantly as inventory levels have reset across the industry. In the vehicle market, we experienced increased demand in commercial automotive driven by the ramp-up of several new model programs. However, this was offset by shifting recreational spend trends in powersports and softer demand in the agricultural sector. While we saw stronger sales in surgical products, our medical market experienced ongoing weakness in medical mobility solutions. Aerospace and defense annual sales reflect variability driven by contract awards and government budgets combined with long lead times. That said, defense has seen positive growth offset by declines within the space industry due to program timing. Finally, our distribution channel, while smaller, showed modest growth, representing 5% of our total sales over the trailing twelve-month period. As shown on slide seven, gross profit for the quarter was $38.4 million, resulting in a gross margin of 31.5%. Gross margin remained flat year over year, despite top-line softness and expected margin dilution from our most recent acquisition. The ten basis point sequential increase in margin was primarily driven by a favorable product mix, as well as the continued implementation of our lean toolkit across the organization. Notably, from the low margin point of 29.9% in the second quarter, we have seen a 160 basis point improvement in gross margin, reflecting a strong sequential recovery. We have been closely evaluating the potential impacts of evolving tariff policies, assessing our options in this highly fluid environment. With manufacturing operations in Canada, Mexico, and China, we recognize tariffs may affect our supply chain, leading to increased costs. As the situation continues to develop, we will consider changes in trade policies through our pricing strategies and continuous operational improvements. We remain confident in our ability to pass most, if not all, of the potential tariff impact onto customers, ensuring operational stability while maintaining the quality and value our markets expect. Looking ahead, our ongoing simplification initiative, coupled with the integration of SNC and its added capacity, positions us well to drive continued margin improvement over time. Despite current market challenges, we remain focused on improving profitability and driving operational efficiencies. As highlighted on slide eight, we reported operating income of $6.4 million, resulting in an operating margin of 5.3%, which was an increase of 30 basis points year over year and was flat sequentially. In the fourth quarter, we incurred minimal restructuring charges, bringing the full-year total to $2 million. These charges were primarily cash-based and largely tied to severance expenses. As Richard mentioned, our Simplify to Accelerate Now program is well underway, and we are actively implementing additional cost-saving measures. During 2025, we are targeting an incremental $6 to $7 million reduction in annualized costs, with initial benefits expected later in the year. One-time implementation costs of the Dothan initiative are estimated to be approximately $4 to $5 million and are expected to be substantially incurred in 2025 and are anticipated to reduce a full payback within a year. Slide nine highlights our bottom-line results, showing continued sequential improvements. For the quarter, net income reached $3 million, translating to earnings per diluted share of $0.18. Adjusted net income was $5.2 million or $0.31 per diluted share, which excludes non-cash amortization of intangible assets as well as business development, restructuring, and realignment costs. Our effective tax rate for the quarter was 22.2%. The prior year's fourth-quarter tax benefit of $400,000 reflected the realization of certain NOLs and R&D credits and incentives. For the full year 2025, we expect our effective tax rate to range between 21% and 23%. Internally, we use adjusted EBITDA as a key metric to measure our operational performance and progress. Adjusted EBITDA for the quarter was $14.1 million or 11.6% of revenue. We are targeting further improvement in EBITDA margin through our ongoing simplification efforts. Sequentially, our adjusted EBITDA margin rose by 10 basis points, demonstrating the effectiveness of these initiatives. Turning to cash generation and our balance sheet, on slides ten and eleven, we remain disciplined in managing working capital while continuing to invest in strategic priorities. For the full year, cash from operations reached $41.9 million, reflecting strong working capital efficiencies and non-cash adjustments that help offset lower net income. At year-end, cash and cash equivalents increased 13% to $36.1 million, further reinforcing our financial flexibility. Capital expenditures for the year totaled $9.7 million compared with $11.6 million last year as we refined our capital allocation strategy to focus on high-value, high-return projects. In 2025, we anticipate moderate CapEx growth with spending projected between $10 million and $12 million, aligned with our targeted investment priorities. Our day sales outstanding increased to 60 days, primarily due to customer mix and timing. Inventory management remained a top priority. Inventory turns remained flat sequentially at 2.7 times. Throughout 2024, we navigated the impact of extended supplier lead times, receiving inventory for orders placed up to a year earlier. As a result, inventory levels remained elevated, but we are actively aligning stock levels with current demand. Encouragingly, total inventory declined 5% year over year and excluding SNC was down approximately 11%. On the debt reduction front, total debt stood at $224 million at year-end, reflecting the SNC acquisition. However, we remain committed to deleveraging, reducing debt by $7.2 million in the fourth quarter. Net debt finished the year at $188 million, representing a net debt to capitalization ratio of 41.5%, which was lower than year-end 2023. To enhance financial flexibility, we amended our 2024 credit facilities in the fourth quarter, securing less restrictive covenants and expanded EBITDA add-backs to support long-term planning. Our year-end leverage ratio, as defined in our credit agreement, was 3.43 times. Additionally, to mitigate interest rate risk, at the end of the quarter, we entered into a new three-year interest rate swap, hedging $50 million of debt, providing stability amidst slowing rate fluctuations. These actions—reducing debt, optimizing capital allocation, and managing financial risk—reinforce our ability to execute our Simplify to Accelerate Now strategy with discipline. Looking ahead to 2025, our financial priorities remain clear and focused. First, we are committed to reducing inventory and strengthening working capital management. We have already made progress in aligning inventory with current demand conditions, and this will remain a key area of focus to further improve cash conversion. Second, we will continue to drive cost reductions through operational efficiencies. Our Simplify to Accelerate Now program is in full execution mode, and we are implementing additional initiatives to streamline operations and enhance profitability. And finally, we are dedicated to reducing debt. As we remain disciplined in capital deployment and cash management, we have already begun deleveraging following the SNC acquisition, and we will continue to take strategic actions to strengthen our financial position. With that, if you advance to slide twelve, I will now turn the call back over to Richard.
Richard Warzala: Thank you, James. The underlying fundamentals of our business remain strong. Order rates demonstrated solid momentum, increasing 15% sequentially. Growth was primarily driven by strength in power quality and defense, while orders also rose 12% year over year, benefiting from similar end-market tailwinds and contributions from our recent acquisitions. Although backlog has been declined due to shifting customer ordering patterns, we remain focused on positioning the business for sustained demand recovery and a normalization of run rates. Our diversified portfolio is well aligned with key macro trends, including data center expansion, electrification, energy efficiency, automation, and the electric hybridization of all types of vehicles, including those in the defense sector. We are actively engaged in several promising new program opportunities within our newly formed Allient Defense Solutions unit, which we announced in a press release in the fourth quarter of 2024. We are also continuing strategic realignment within our company to support the significant opportunities available to Allient Inc. in this sector, as well as in some of our other targeted verticals. Our outlook is outlined on slide k. We anticipate a moderated pace of orders across most markets through the first half of 2025 but expect continued strength in areas benefiting from long-term macro trends, particularly data center expansion. Customer inventory adjustments appear to be nearing completion, and as we move forward toward midyear, we expect greater stability in order flow, supporting a strong return to revenue levels and improved operating margins as we capitalize on emerging growth opportunities. As part of this Dothan transition, we expect some near-term inefficiencies, including full production lines and temporary inventory buildup across multiple locations. However, these are necessary steps to ensure a smooth transition and position us for long-term operational improvements. Ultimately, these initiatives reflect our commitment to building a more efficient and sustainable foundation for future growth. At Allient Inc., we are actively driving innovation and efficiency through targeted investments and strategic realignment. Our focus on operational excellence, exemplified by our Simplify to Accelerate Now program, ensures we remain agile and competitive in a dynamic environment. By optimizing our cost structure, streamlining operations, and leveraging our global footprint, we are strengthening our ability to deliver high-precision solutions that meet the emerging needs of our customers. I am proud of what we have accomplished this past year and remain optimistic about our path forward. Our strategic initiatives, combined with our team's dedication, position Allient Inc. well for the future. With that, operator, let's open the line for questions.
Operator: We will now begin the question and answer session. To ask a question, if at any time your question has been addressed and you would like to withdraw your question, our first question comes from Greg Palm with Craig-Hallum Capital. Please go ahead.
Greg Palm: Hey. Good morning, everybody. Thanks for taking the questions and congrats on a better end of the year. Some improved execution for sure.
Richard Warzala: Thank you, Greg.
Greg Palm: If we could just start at maybe a high level, Richard, just give us a little bit more color on what you're seeing out there across geographies, end markets, anything that you think is worth noting and maybe how that relates to the potential to return to growth for the year and maybe the cadence of how you think 2025 plays out.
Richard Warzala: Sure. Let's start with geography. I would say to you that North America continues to strengthen. I think what we're looking for there is for the industrial sector to come back to life and get back to normal rates and growth. We do see some challenges continuing in the powersports area. Inventory levels at the dealer seem to be pretty high, so we don't expect that to return to the COVID days where it just went through the roof. As far as Europe goes, I would tell you that Europe, driven certainly by Germany, still has some softness and it's expected to persist into midyear. They have an administration change they're going to be going through, so depending on what happens there and the policies that we see implemented, hopefully, they'll also see some return emphasis on automation and growth in the industrial sector as well. Globally, and primarily for us, it is North America where we see the benefits. The data center expansion and our capabilities to support that are very encouraging. That's continuing to have some pretty strong tailwinds, and we expect that to continue throughout the year and to be a pretty good beneficiary of that. The defense sector, the programs that we're working on, and so we look at defense. We created the new business unit as we announced last year and talked about a little bit here.
Richard Warzala: There's many new programs that we're working on, and we believe that we have a product set and a solution set that makes us kind of unique in the space. It's gaining tremendous traction. We put resources in that have proven track records of growth and expansion, and we're really emphasizing that this is going to be a strong area for us and opportunities in the future based upon these new programs. We, in the past, have talked about the immunizations and how the inquiries went up based upon the conflicts that were occurring. But we have seen increased demand there, so the demand is going up. I think we'll see that demand continuing to expand into the future here. There's other areas that we talk about, our Simplify to Accelerate Now strategy. I think many people relate that to say, well, you're streamlining operations, you're creating operating efficiencies, you're reducing costs, and that's really what's generating the fixed cost reductions that we're going through. But I will tell you even more so than that is the ability to respond quickly, to get these organizations aligned much closer to customers so that we can support them better and we can move very quickly on. So yes, we have the benefit of simplifying or reducing the amount of overhead that sits in some of these silos, but making them more effective by working closely together with our customers, and we think it improves our responsiveness to our customers, which ultimately leads to the growth in business. So that's pretty quick highlights of the market. We didn't discuss Asia. As you know, that's not a significant part of our business, but it still remains stable.
Greg Palm: Yep. That makes sense. I'm curious, Europe specifically, given recent news there, proposed stimulus, kind of a whatever it takes moment. I mean, I know that's been a challenging market, Germany specifically, where you have a lot of exposure. But probably too early to tell now, but do you feel like there could be any green shoots that emerge, or is it more of a let's wait and see mode and see how that kind of the year shapes up?
Richard Warzala: I would say it's a wait and see, Greg. I don't think we have enough information yet. There's been discussions of their stock, but our people on the ground in Europe tell us that they're continuing to hold the line on expenditures and looking at operational efficiencies and so forth, and focusing on new product development and programs that they think will kick off, but they're still taking midyear and beyond before we start to realize any of those benefits.
Greg Palm: Yep. Okay. Makes sense. And then just lastly, you've talked about it a couple of times about data center exposure and some of the strength there. Can you just kind of remind us exactly from a revenue exposure standpoint and just in terms of growth rates, what did you see last year? Any sense on what you're expecting kind of this year? And what's the overall opportunity there in that space?
Richard Warzala: Yeah. Well, I think certainly, from our perspective, one of the top advantages that we have that we feel will help us outpace the industry and the growth is that we do have some higher power solutions that are quite unique in the marketplace. That does give us a competitive edge, and I commend the team that made a bet that that's where the market was heading several years ago. And the bet was correct. And so, therefore, we are positioned quite uniquely and have the ability to take advantage of that. From an overall standpoint, we're looking at pretty significant growth that we've had year over year in the 40% range. And we do expect that opportunity, maybe not at those levels, but has the ability to continue well into the future.
Greg Palm: Okay. Alright. I'll leave it there. Best of luck. Thanks.
Richard Warzala: Thank you, Greg.
Operator: And the next question comes from Ted Jackson with Northland Securities. Please go ahead.
Ted Jackson: Thanks. Good morning.
Richard Warzala: Good morning.
Ted Jackson: Richard, I'd like to talk about both powersports and actually medical as well, to start with. If you look at those businesses, the medical business, I know there's a lot of moving parts underneath the hood. But the medical business seems to have stabilized at around, let's call it $20 million for the last two years. And is that kind of a base level run rate? Can you just sort of talk a little bit about what's going on underneath the covers? It just seems to me that that business based out. And then exactly a similar thing with regards to powersports, which also seems to have kind of based out around $20 million on a run rate basis for the last, call it two quarters. Is that a way to kind of think about this business? Is that as these two business lines for you that they're kind of just sort of flatlining along? They've kind of found their floors and what we got to wait for is those markets to stabilize and turn around. That's my first question.
Richard Warzala: Sure. So looking at Medical First, when we talk about medical, and I've mentioned this before, we look at the applications in a more finite level internally. We call them FOAs or field of applications. And we look at our medical and basically group them and lump them into different parts. One would be medical mobility and the second would be instrumentation. Instrumentation being treatment equipment or surgical robotic and other types of diagnostic equipment, the instrumentation type. The other type we talk about is medical mobility, patient handling, looking at the wheelchairs, patient beds, rehab, and we have other applications in there that in the past, for example, respiratory breathing during COVID times, obviously, that led way up and we saw that come back down to levels below what we saw in the past. So I think it's kind of leveling out now and stabilizing, but then we have other applications that are in various different types of pumps. Applications. So I would tell you that we are focused on areas that we think will have some continued growth well into the future. Surgical robotics and instrumentation and diagnostic and test equipment, higher-end equipment that, in the innovation that's occurring there, that's not going to go down. That's only going to increase. And as it starts to expand its reach into the world market, we think that there's definitely some opportunities there. And we're investing there. The other markets aren't going that easy. I mean, the insulin pumps and the blood pumps and other types of, I'll call it more home care or individual care, I don't think that those are going down. I think there's definitely going to be a growing market, but maybe not as fast as it may be from our standpoint. It doesn't have the same technology that we would see in the higher level, robotics and instrumentation markets. As far as respiratory and breathing, I think that'll be stable. Unless we have some change that occurs in the environment here, that's probably going to stabilize. So we see, for us, our emphasis being on providing the higher-end, higher-level solution, continue to expand in there, expand our reach in there, and as we look at the vertical, we do, as I mentioned to you, we do look at it two different ways. One is a more competitive, different type of structure for handling and some of the other individual products, consumer-type products as well, but the instrumentation and surgical robotics and so forth requiring continuing to require higher-end, faster, better solutions that we think will have some continued growth out into the future. So you asked about is it stabilized? I think we have some room to return it to the growth levels that we haven't seen yet. But then I do think we have growth opportunities there, and it's one of the key verticals for us. Powersports, you have the same questions for that?
Ted Jackson: Yep. I think it's going to be a challenge. If you take a look at the market, can you take a look at the major players in the industry and so forth? I think they're all talking the same way that it's a challenge market. It's also the dynamics of that market have certainly changed over the years. Clearly, when we were the innovators in power steering, selling at the market, the volume has gone up tremendously. You see the change of the retail chain that's being sold in the big box stores, whether it's sporting goods stores, the warehouses, you've seen that, as well as you still have the dealers. And I think there's a squeeze going on with the margin potential. And as the volumes have gone up, you've seen some competition outside of North America, which claims to be taking some market share. So I do see that into the future as definitely a challenging market in our, you know, our customers. So they've got battles on their hands to retain share, to drive cost out, and to figure out how we work with the new channels and the cost reductions that they're seeing in their end products. And that's where we have to support.
Ted Jackson: Is there a case to be made that, as you get towards the back part of this year, that the business is at least bottom out? And then regarding to you, you know, do you have exposure within that segment to the commercial vehicle market? You know, the outlook for the commercial vehicle market second half of 2025 and through 2026 looks very encouraging because of, you know, sort of pre-buy for EPA regulations and such. So when you think about the vehicle segment in aggregate, do those balance each other out, or do you think you can actually grow it?
Richard Warzala: You know, I would say to you that there has been an offset that's occurred there for us. I mean, we do have growth in the commercial vehicle market, but I also want to repeat what I seem to be saying in every one of our conference calls. That we look at this market as the opportunity to sell into the automotive or vehicle markets itself, and mostly automotive from a volume standpoint gives us some critical mass and core unit volume that we could leverage into other markets, not just other vehicle markets, but also some other markets within the company. That, you know, in itself, we have enough volume there now where we feel we can take advantage of that and we can leverage that, but it is not for us. In fact, we are looking at and we've already made the decision internally that, you know, we want more than niche applications. We're not interested in competing with people who will do this thing, you know, to run their businesses at extremely low margins, if any at all. So the challenges are going to be there. And fortunately for us, we are positioned. It's niche applications. It's growth. It's profitable, and we can leverage that into other areas. It has offset some of the drop that we've seen in the powersports, but not all of it. I mean, powersports, as everyone knows, was certainly, you know, our biggest customer was in that space. No longer a large customer. In fact, no longer is in a reporting requirement for us. So that's good and it's bad. From the standpoint of we've always worked very diligently on diversifying our business into other sectors, which we've done. And so, but the goal wasn't, you know, to reduce the volume there and grow it everywhere else. The goal was to maintain the volume growth as elsewhere. For the most part, we've done that. So there has been some offset, but not enough covering the powersports drop.
Ted Jackson: Okay. I got one more bigger question, then a couple of little tiny ones for James. I want to move over to the inventory stuff and your largest customer. You know, so when Rockwell put out their quarterly stuff, they did actually pretty much put a flag in the ground saying that they had seen a lot of their inventory within, you know, the segment, you know, kind of push to normal. And so with that in mind, you know, I mean, obviously, not a one-for-one in terms of timing. When you see that business normalizing and you see that the turning around, can we talk a little bit about the cadence of that? I mean, is it something that we should see, you know, like, you'll report first quarter and you'll see, you know, a level of improvement in second quarter, you know, like, level improvement in third quarter, level improvement in fourth quarter, and you know, and am I reading your guidance right? That or your commentary right with regards to, you know, the cadence of the year that you see that the inventories within that channel being normalized by the time we get into, say, like the third? And then I got two just real quick ones for James.
Richard Warzala: Sure. So what I have to caution everyone on is that, again, we talk about broader markets. When we talk about automotive, we talk about industrial, we talk about medical, so forth, that, you know, we do focus, and I mentioned this to you, that we have these FOAs that we feel that we, you know, we gain some competitive advantage there, and then we look to leverage that into any all the opportunities that are out there for the same type of solution. From an industrial automation standpoint, and I can appreciate, you know, Rockwell has talked about that they're gaining momentum, and they're kind of cleaning out the channel and getting their inventory levels adjusted. And that is great. Because we have suffered from that. It was a big headwind for us this year. I would tell you it was overweight. That it was a situation where, you know, we had a pretty low strong backlog based upon long lead times of component parts, mostly electronic component parts that we had to go out, secure. Rockwell also, you know, was supporting that effort to get out and get these components secured. And when we got them, and we were able to produce, they were taking everything we could produce. But there was something that I would tell you that must have been off in the planning system because you hit a cliff and dropped. So it tells me, and just being totally open about it, it tells me that we probably had a higher level of inventory in their channel than some of their other customers might have seen. And that perhaps we would have a longer climb out of the, you know, for as they return to improving automation projects and utilization of our products. So your statement about are we seeing improvement, the answer is yes. Is it going to continue to improve month after month, quarter after quarter? Yes. When will it return to what we will call a normal state? I will say to you that I don't expect that to occur till later in the year. That's based upon the improving demand that we're seeing, indicators of that improvement that we're seeing. I'll also caution us that we had a surge last year, a very strong surge. We talked about a $40 million headwind that we would have coming into the year based upon the surge. So that level of business that we did have last year, we don't see that repeating in the near future. We see that it's going to be, that was pent-up demand, and it was a surge demand based upon not, you know, inability to get product, and now that that's freed up and it's flowing, inventories are being consumed, we will return to some type of normal demand, but it will be below the surge that we saw last year, so that's one of the headwinds that we will face going forward. That answered your question?
Ted Jackson: It does. Thanks very much. My last two questions, which are really kind of short. So the one is with the Dothan restructuring and the cost, you know, called four and a half million dollars. It's going to come through in 2025. Are you going to break that out? And how are you going to structure the breakout if you are within your financials? So pretty simple. Just kind of want to understand how we're going to see it, and then, you know, any kind of color you can give in terms of when we're going to see it would be helpful as well, and then when we're behind that.
James Michaud: Well, we don't typically break it out. But what I would tell you is that it's well underway, the effort. We know that it quite candidly. I'd love to be able to tell you that it's going to be ratably, our investment's going to be ratably over the year, but I think it's going to be a little lumpy, Ted, and I would tell you it's probably going to be more towards the back half of the year when we start seeing the greater cost. I mean, we are going to incur costs in the first half of the year, but I think it's going to be weighted towards the second half.
Ted Jackson: And you won't even show that within...
James Michaud: And as you know, we normally put our restructuring business development.
Ted Jackson: Okay. Just making sure. So we will see it in there. You won't call it out individually, but we'll see it in there in terms of the line. I understand what it is.
James Michaud: Yeah.
Ted Jackson: And then my last question, just to make sure, can I think I have the rate down, but what's the interest rate for your swap that you put in that $60 million? I think I have 3.2%. Is that correct?
James Michaud: That sounds about right, but I'll confirm that for you.
Ted Jackson: Okay. Okay. That's it for me. Thanks for the patience with my questions.
Richard Warzala: Thank you, Ted.
Operator: Again, if you have a question, please press star and then one. This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks.
Richard Warzala: Well, thank you, everyone, for joining us on today's call and for your interest in Allient Inc. We will be participating in the ROTH Conference on March seventeenth in Dana Point, California. Otherwise, as always, please feel free to reach out to us at any time, and we look forward to talking to you all again after our first quarter 2025 results. Thank you for your participation, and have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.